Operator: Good morning, and welcome to the Liberty Oilfield Services Third Quarter 2020 Earnings Conference Call. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. And please note, this event is being recorded.  
 Some of our comments today may include forward-looking statements, reflecting the company's view about future prospects, revenues, expenses or profits. These matters involve risks and uncertainties that could cause actual results to differ materially from our forward-looking statements. These statements reflect the company's beliefs based on the current conditions that are subject to risks and uncertainties that are detailed in the company's earnings release and other public filings.  
 Our comments today also include non-GAAP financial and operational measures. These non-GAAP measures, including EBITDA, adjusted EBITDA and pretax return on capital employed are not a substitute for GAAP measures and may not be compared to similar measures of other companies. A reconciliation of net income to EBITDA and adjusted EBITDA and the calculation of pretax return on capital employed as discussed on this call are presented in the company's earnings release, which is available on its website.  
 I would now like to turn the conference over to Liberty's CEO, Chris Wright. Please go ahead. 
Christopher Wright: Good morning, everyone. In the midst of a global pandemic and an oil and gas industry downturn, our third quarter results demonstrated the resilience of our business. The Liberty family came together to work through an extraordinarily difficult time for the industry by applying our core principles to meet near-term challenges, working hand-in-hand with our customers.  
 Our customers have been as challenged by current conditions as we have been. We are in this battle together. Just as with our personal lives, relationships are strengthened or broken during trying times. Liberty is growing and strengthening our relationships with our customers and our Q3 results reflect that.  
 Completions activity is modestly ahead of the pace we expected earlier this year at the outset of the downturn, and we continue to grow market share percent of business with our top-tier customers. The third quarter also marked an entry into our first major gas basin, the Haynesville Shale, with an existing customer. The Haynesville is a world-class gas resource, geographically advantaged, being developed by a crew of strong operators. We are excited to plant our flag in the Haynesville.  
 Our third quarter adjusted EBITDA, excluding noncash items, was $1 million, a $10 million improvement from the second quarter as operators restarted frac activity following an abrupt halt in the oily basins during the second quarter. Cash and cash equivalents were $85 million at the end of the third quarter. And total liquidity, including availability under our credit facility, was $154 million as of the September 30 borrowing base. Because of the severity of this downturn, I want to remind investors of how incredibly hard the team has worked to navigate all the challenges while keeping our people safe and our customers served in the top-tier fashion that they are accustomed to. I'm pleased with our team's solid execution that has translated into the significant improvement in our Q3 results, albeit with much room for further improvement in the coming quarters. All these efforts and decisions have been critical for Liberty's future. Not all of them have been easy. Michael will share our full financial results shortly.  
 Despite near-term macro volatility, we never take our eyes off the long-term goal of building a competitively advantaged leader in North American frac. Our strategic goals have always been centered on building a business for longevity and returns through cycles, which requires a strong balance sheet and solid liquidity. We are pleased with the positive reception that the OneStim deal has received from our partners, customers, suppliers and investors. We are excited by the conversations and integration preparation work we've done so far with our colleagues at OneStim.  
 Let me briefly discuss OneStim. Bringing these 2 businesses together has energized our team. Our integration work is still in its early stages. We are immersed in discussions on people, technology, assets, strategy and our future technology alliance framework. This is a huge effort with huge opportunities. Things are progressing quite well.  
 We are pleased with how complementary our engineering databases and the innovative technology solutions are for completions designs, and we're excited by the future opportunity to deploy an even better service offering. Suffice it to say that there are simply tremendous opportunities for Liberty to supercharge our technology platform. We will roll out more details on specific initiatives in the near future. Let me say again, technology was the major driver behind this transaction.  
 We are also excited by the pump down perforating wireline business and the sand mines. It's simply too early to complement -- to comment on any more specifics at this point. We expect to close the transaction towards the end of the fourth quarter. We have already received antitrust clearance.  
 Frac activity rebound has continued at a modest pace, likely supplemented that Liberty find gains in market share. We exited the third quarter at a much higher level of activity than the quarter began. We see activity now leveling off until the seasonal decline towards the end of Q4, which we expect to be more modest this year.  
 For the fourth quarter, we are now anticipating average active frac fleets, excluding the ones -- the acquisition of OneStim, will increase by greater than 20% from the third quarter. I must recognize again and give thanks for the great sacrifices made by all of those in Liberty family. I'm pleased to share that we no longer have any employees on furlough.  
 While we are on the road to recovery, it will take time. Oil prices are bouncing around $40, an improvement from the spring but still too low for a healthy industry. Natural gas prices are at a somewhat better place today than oil prices. The U.S. onshore rig count bottomed about 3 months after the active spread count bottomed and has also been modestly improving with 6 consecutive weeks of growth. Current industry activity levels, likely around 130 active frac fleets, are well below the level of activity to hold U.S. oil and gas production flat. Hence, we expect to see further increases in activity levels next year.  
 Liberty is responding to the reality that we have today and building our competitive advantages for however the future unfolds. Customer relationships are central to this. Last quarter, we discussed that our engineering prowess and completion designs were catalyzing more conversations with customers. Crisis catalyzes change. Those discussions have accelerated even further. Customers are looking to Liberty for new ideas and greater innovation to lower the cost of producing a barrel of oil.  
 ESG is also a growing part of our customer dialogues. We are working hard to release our first ESG report for the end of the year. We are anxious to bring a fresh, candid perspective to this growing issue on our industry and our times.  
 These are busy and exciting days for the Liberty family. I will now turn the call over to Michael. 
Michael Stock: Good morning, everyone. It has been a challenging 6 months for our industry. And in the second quarter, we transitioned the business to align our cost structure with our dedicated customers' projected activity levels and our financial results reflect these changes. 
 During the third quarter, we were pleased to see month-to-month improvement in the frac activity of trough levels in the middle of the second quarter. These partnerships with our well-capitalized dedicated customers allowed us to achieve results slightly ahead of our projected pace during the period. 
 In the fourth quarter, we are now expecting greater than 20% sequential growth in average active fleets, which is the top end or higher than our prior guidance of 10 to 12 fleets. For the third quarter 2020, revenue increased 67% to $147 million from $88 million in the second quarter, reflecting a steady return of activity as the commodity prices backdrop stabilized, albeit at low levels. And net loss after tax totaled $49 million in the third quarter, improving from a $66 million loss in the second quarter. Fully diluted net loss per share was $0.41 in the third quarter, ahead of the fully diluted net loss per share of $0.55 reported in the second quarter. 
 Severance and related costs were $1 million during the quarter. And fleet start-up costs included in the cost of sales was $6 million for the quarter. Third quarter adjusted EBITDA improved to a loss of $3 million in the third quarter from a cyclical low of $13 million in the second quarter. Third quarter adjusted EBITDA was a positive $1 million after excluding noncash items of $4 million. 
 Results were driven by a modest return in frac activity in the third quarter, following the second quarter production shut-ins and curtailment of completions by operators in the oil basins. 
 General and administrative expense totaled $19 million, including $1.5 million of onetime transaction costs related to the OneStim acquisition in the third quarter, a modest 4% increase from the second quarter as our cost-saving measures taken early in the second quarter continue to aid overall results. This modest increase in general and administrative expenses was primarily due to the timing of certain corporate costs in the third quarter as well as higher activity, driving an increase in personnel cost as employees returned from furlough. We anticipate a modest uptick in general and administrative expenses during the fourth quarter on a full quarter of no furloughed employees. 
 Net interest expense and associated fees totaled $3.6 million, and we recorded an income tax benefit of $10 million for the quarter. We ended the quarter with strong liquidity position of $154 million, including a cash balance of $85 million and no borrowings drawn on our ABL facility. 
 Capital expenditures were $12 million for the quarter and $58 million for the year, and we continue to expect capital expenditures in 2020 to be in the $70 million to $90 million range. Fourth quarter capital expenditures are expected to primarily include maintenance CapEx on increased working fleets, investment in next-generation fleets and other items. 
 The exceptional circumstances of this historic downturn in oil and gas have been bittersweet. We acted swiftly when circumstances were highly volatile, reducing staff, conserving cash, managing our liquidity and maintaining a strong balance sheet. Our core principles allowed us to navigate a very challenging market. Equally importantly, it also allowed us to take advantage of opportunities that will make us stronger as the cycle improves. The acquisition of OneStim is a prime example of executing for the future. We believe OneStim will serve as a catalyst to advance our goals in generating superior returns as we have in years past. 
 As Chris discussed, we expect to close our acquisition of Schlumberger's frac business late in the fourth quarter and our integration efforts remain on track. We have long been focused on investing in the future with a sustained focus on technology innovation. For this deal, we believe we can deliver even greater value to our shareholders through a strong investable platform. 
 And with that, I will now turn the call back to Chris before we open for Q&A. 
Christopher Wright: While the timing of full recovery in global oil demand remains uncertain, the last several months have shown a dramatic rebound from the lows in April and May. However, a resurgence in COVID cases now threatens the future pace of recovery in oil demand. Against this backdrop, there has been a concerted effort across the industry to cut costs and drive efficiency improvements. As part of that effort, we've seen several significant consolidations announced among E&P operators, including Chevron-Noble, Conoco-Concho, Devon-WPX and Pioneer-Parsley in the oily basins and we expect more to come. These trends will likely persist into 2021 across the oil and gas industry. We expect that best-in-class operators and service companies of larger scale will emerge on the other side of the downturn. 
 A full-fledged recovery or return to normal depends on a rebound in global economic activity. This will take time. World Health Organization officials expect a doubling of the global poverty rate, a tragic and dramatic reversal from the plummeting of world poverty over the previous decades. One of the greatest drivers of demand growth for oil is people's lives getting better around the world, whether that is rising out of poverty, entering the middle class or moving up to a more affluent middle class life. All of these improvements demand more oil and gas. The simply tremendous economic progress of the last century has been abruptly interrupted. We long to see this trend reverse again, both for what it means to our industry and more importantly, for what it means for the well-being of the world's people. 
 Thank you for joining us today. We look forward to fielding any questions that you may have. 
Operator: [Operator Instructions] And our first question today will come from Blake Gendron with Wolfe Research. 
Blake Gendron: I appreciate the commentary there about the oil and gas impact globally. I know it's still early days and you're still going through your review with the OneStim technology and equipment. It's pretty easy to see what Liberty can do with scale and in terms of driving efficiency and throughput, that definitely follows through to the EBITDA line. 
 In terms of free cash conversion, it would seem you have an opportunity to cannibalize some equipment. So my question is, as you look at the equipment now and maybe it varies a little bit by basin, does the equipment on the OneStim side match up well with Liberty's equipment? And what do you think the extent of this cannibalization savings on maintenance CapEx could be both next year and kind of moving forward? 
Michael Stock: Thanks, Blake. And I'll take a little bit of that. It's Michael. Yes, the equipment matches up very well, really. They sort of run a very similar sort of drive train to what we have. One of the key decision points that I think Ron and the team are looking at is as far as when we're looking at control systems, just one of the things we have to bring. We have standardize across the system. But the equipment itself is in great shape. And we'll have, I think, about 500 green tagged pumps. So we'll have a lot of equipment that's in tip-top running order. We will have a lot of equipment, a significant amount that will be available for reducing capitalized maintenance and cost going forward. Still in the stages of looking at that. As you can imagine, there's a lot of equipment to look at. But we've announced, I think that's probably going to be somewhere in the range of $50 million to $100 million reduction in spend over the next 3 years. I would guess that is probably a little bit of a bell curve, a little bit slower in 2021 sort of and then a smaller amount out in the third year. Probably the highest amount of that savings comes at the back end of 2021 and through sort of 2022. 
Blake Gendron: Understood. And what piqued our interest, obviously, was the Haynesville entry there with an existing customer. OneStim, in our view, was pretty impactful in the Haynesville region. We just don't hear a lot about the nature of the work with respect to maybe pad configuration and what the wells are actually like just because it's fragmented from an E&P standpoint, and also, you have some private frac companies that are operating there as opposed to large public ones like yourself. I'm wondering if you can maybe characterize the nature of the work in the Haynesville with respect to maybe the efficiency and throughput upside. Maybe comparing a Haynesville pad to a Permian pad would help us illustratively understand the opportunity there. 
Christopher Wright: Yes. So this is Chris. So the Haynesville is deep and highly overpressured, which contributes to the huge size of the resource. But it means it's a high-pressure basin. So which means pumping above 10,000 psi. So it's high pressure. The reservoir is thick, so the pounds per foot or frac intensity is high in the Haynesville. And their EURs and recoveries are highly dependent upon frac intensity. So it's significant-sized pads. And that each well, I would say, on average frac intensity are higher than in the Permian. And it's high pressure, so it's more like Delaware than Midland Basin. 
 But yes, there's a number -- you hear last, there's a number of sizable private operators there as well as the publics. But boy, the resource base and the outlook for it going forward is tremendous. We've been looking at Haynesville for a while. We like the outlook there. And I would say, super proud of our team to arrive in a new basin without a base there and to perform very strongly right out of the gate. So a customer we arrived with there, we will be very busy with next year. And as you said, yes, OneStim has a significant presence there, and it's been doing some great work, and they have a facility. So yes, I see Haynesville as a significant basin for us going on for a long, long time. 
Operator: And our next question will come from Chase Mulvehill with Bank of America. 
Chase Mulvehill: So I guess I want to dig in a little bit on kind of 3Q. The sequential revenue improvement lagged your increase in your average fleet count. So could you maybe talk how much of that utilization versus kind of mix? 
Christopher Wright: There's 2 big factors. Number one, our percent of self-sourced profit pumped in Q3 was sort of inordinately high. So that in itself means for the same amount of frac activity, revenues are lower. 
 The other is you have work, and in Q2, at the beginning of Q2, you've got a lot of work going on that was a continuation of work from Q1. So it's a better pricing environment, and all fleets are running on all cylinders and smoothly operating on day one of the quarter. Where here, you've got launching of new fleets, working kinks out and getting things back up again. And of course, you've likely got -- you've got a lower average pricing in Q3 than you do in Q2. thinking of the Q2 work as mostly at the beginning of Q2 as you're going into shutdown. 
Chase Mulvehill: Okay. Perfect. And then if we can kind of carry this question into Q4. Given that backdrop, obviously, you've guided your 4Q average fleet count up more than 20%. How should we think about the moving pieces between mix and utilization as we kind of go into 4Q relative to 3Q? 
Christopher Wright: We go into 4Q with a strong activity level. So the fleets are running at -- fleets are running at high throughput going into Q1, so you'll likely -- you'll see a more positive revenue per fleet likely in that setting. 
Chase Mulvehill: Okay. And last one, real quick, on frac pricing. Are you still seeing pressure out there today on the pricing side? Or is it actually down the bottom? 
Christopher Wright: Yes. I would say we're at a bottom. But my first reaction when you say frac pricing is it's terrible. Just an industry right now where there's a lot of excess capacity, it's almost a necessary thing. It's what is pushing capacity out of the marketplace. So pricing is very tough right now. But yes, it's not going down. It's just, yes, it's at a very low bottom. 
Operator: And our next question will come from Marc Bianchi with Cowen. 
Marc Bianchi: I'm curious on the kind of activity progression here. I mean I know you guys have guided to the over 20% here for the fourth quarter and kind of made the comments about what's sort of needed from a market perspective to sort of hold production flat. But my sense is most of those sort of maintenance expectations were kind of based on $35 oil and the commodity prices drifting lower here. So I'm just kind of curious, how do you see that commodity price weakness playing into sort of the broader market activity as we head into '21? And how does that affect your business and what you've sort of put forth here for fourth quarter? 
Christopher Wright: Yes. I would say commodity prices drifting lower definitely will impact activity. If we did look at this 3 or 4 months ago, I would say consensus or the broad sense was U.S. production would hold flat at the December exit rate. I think given the tone and, obviously, the fear of softer oil prices that we're seeing some of that, it's likely later next year and maybe not even next year that we get to activity levels to flatten U.S. production. But still from where we are today, I'd say that's -- I still expect we will see higher activity levels on average next year than we see today. How much higher, I think, depends on oil prices. Oil prices are in mid-40s, that's one scenario. If oil prices are in high 30s or around where they are today as we're sitting there, I think you'll see increased activity but at a significantly smaller increase than where we stand today. 
Marc Bianchi: Okay. And then one, just in terms of the kind of the margin leverage here. In the third quarter, I know there was some restoration of furloughed workers that may have weighed on sort of your margin leverage. If I kind of look at the EBITDA improved $10 million, which kind of works out to a mid-teens or 10% to 15% incremental. What should we be thinking in terms of your margin leverage or operating leverage in the fourth quarter just in light of this sort of 20-plus percent activity increase? 
Michael Stock: Yes. It should be a little bit stronger in the fourth quarter than we came into in the third quarter as we were relatively flat. Everybody is being brought back from furloughs, going to be brought back from furlough. Obviously, we're also dealing with the OneStim acquisition and probably going to find that we're going to run a little heavy on some of the costs and some of the transaction costs into Q4 as we go. 
Marc Bianchi: So Michael, just a follow-up on that. If we think about, like your -- absent all of these unusual things, what would be a normal incremental for the business? And then maybe we can think about what to deduct from that given the points you just mentioned. 
Michael Stock: Yes, I don't think we'd go into that. It's just too much of a moving target at the moment, Marc. Sort of as we're coming out of this, we're still really coming off this sort of a very, very unnatural trough. So to talk about normal incrementals at the moment is really probably -- would probably cause more confusion than anything else. 
Operator: And our next question will come from David Anderson with Barclays. 
John Anderson: So Chris, I want to ask you a bit more about the E&P consolidation you talked about it in your prepared remarks. It seems to me it's a bit of a -- another reason for investors, I guess, to hit on the oil space. But on the surface, it seems that 1 plus 1 equals something less than 2 when it comes to putting a couple of these programs together. What's the counter to this? What's the -- can you just kind of talk about how you think about this? Does it kind of ultimately become sort of a frac off between your competitors? Just sort of maybe talk about how you see those dynamics playing out, because there's so many of them, and I guess in the next 12 months, we'll find out how that all shakes out. 
Christopher Wright: Yes. Of course, they'll all be different. I think there's a negative and a plus. And the negative, I think you hit. You're going to get -- you're going to combine 2 companies. They're going to lower their cost, their CapEx, 1 plus 1, I agree, in general, will be less than 2. This is a shrink CapEx, grow efficiency play, for sure. And that's overall a negative for the OFS space. And so we -- that's our world and we've got to live with that. 
 The flip side of that is we're going to have bigger, stronger E&P companies that are of scale. And the partnership or mix there is likely going to be with bigger, stronger technology-heavy service companies. So it also in that kind of a world, I think it competitively advantages a business like Liberty. 
Michael Stock: And I think just a follow-on from that, I think, in the long term, well, it does, it makes the U.S. oil and gas sector more impeditive at a lower price, and so therefore, will drive more development in the Lower 48 in Canada from larger companies who can -- who have got an economy of scale, who've got sort of access to capital to survive and sort of this -- sort of what I think is along -- allow for [ lower ] oil price. So therefore, should actually advantage us over the long term, even though you're right, we may have some hiccups over the next 6 months. 
John Anderson: Right. Yes. No, that seems pretty clear. There clearly are opportunities for you as well. So a separate question and also kind of a bigger picture question. I think we can safely say that Liberty manages more of the supply chain, I mean, sand, chemicals, water, than any of your competitors. It's something you feel is an advantage of winning work. Taking all that into account, I'm just wondering where do you see the potential for a potential step change in efficiencies here? One operator kind of complained to us that 70% of the cost of profit is on trucking alone. I don't know if that's the same thing for all your operations. But it's just sort of generally speaking. I'm wondering if supply chain efficiency is a problem that you're trying to solve. And I'd also be curious if you have a digital overlay over these operations, whether it's internal or third-party or just kind of where you stand on kind of software as helping those programs out? 
Ron Gusek: Yes. This is Ron. I think we see that ultimately as a hybrid model. Of course, there are opportunities where a piece of software is going to make a better decision than a person. And I think you see that opportunity, particularly in the last mile piece of things. So to your point around trucking being 70% of the cost of sand, that's certainly true in some places. That's not true every place we do business. But if you were talking about a particular basin, maybe the Permian, for example, that could absolutely be the case. 
 And so yes, as you think about that last mile piece, the opportunity to lower trucking cost comes in effective utilization of those trucking assets, enabling those folks who own those trucks to make more turns during the time they're allowed to be out driving. And so that requires an efficiency or an optimization exercise. And the computer is very, very good. Artificial intelligence will be able to move the needle to some degree there. But I think we feel, at Liberty, there's a limit to what a piece of software can do in terms of replacing a human. We place a lot of value on the relationship we have with our suppliers and what that means when times get challenging. I think there's no replacement for being able to pick up the call -- or pick up the phone, have a conversation with somebody you know and have a relationship with to work through a challenging supply issue, whatever that might look like. And so I think we see opportunity there to improve efficiency, but I think it's going to be a mix of both software and the ongoing relationships we pride ourselves on with our customers and suppliers. 
John Anderson: So Roger, related to that, I'm curious if you're in a position now where you can say, hey, we can provide this x percent -- this last mile x percent more cheaper than our competitors, is that a selling point? Is it like a 10%, 20%, 30% number? I'm just kind of curious how you think about that in terms of a competitive advantage. 
Ron Gusek: Yes. I don't know that I could quantify exactly what that is, but it's meaningful. There's no question. I think we are confident we can convey to our customers an advantaged supply chain that looks differential to everybody else's and I think that carries a huge amount of weight. And I think that's the reason you've seen us generally be on the lower end in terms of self-sourced profit side. I think our customers have confidence in our ability to deliver to them a competitive supply chain that is a function of scale we have, that is a function of the relationships we have, that is a function of the ability and focus we have on that and it's important in our world. 
Michael Stock: That's one of the things that we're getting. One of the things we really love about the OneStim deal, is we are getting some software and the work they've been doing on some software related around that, that we'll be able to sort of leverage across the new scale of the company in conjunction with sort of, again, as Ron would say, moving sand efficiently, and then sort of being able to stage those trucks using artificial intelligence and geo fencing to actually manage the time between loads and sort of increase that efficiency. I think it's a key thing. They've done a lot of this thing over the last few years. We'll be able to take that investment and then commercialize it and put it out to our customers to really help them. Our larger customers are going to be our largest set of the scale of demand and help them lower their costs. 
Christopher Wright: In addition to the efficiency and cost, another advantage we've had that we are working hard to grow is reliability. There's disruption. The mine goes down, a mine goes down, markets are tight, weather is bad, we've -- our competitors have had much more downtime when systems are stressed. What Liberty has prided itself on the robustness of our ability to keep operations running reliably through all conditions. And that is, I would say, recognized and appreciated by our customers, and we expect to continue to enhance that robustness of our supply chain as well. 
Operator: Our next question will come from Sean Meakim with JPMorgan. 
Sean Meakim: So to follow-on to the decision to enter the Haynesville, Chris, you've avoided dry gas basins to date. But the move is not surprising, you're going to take on Schlumberger's fleet and their existing footprint. You always try to invest countercyclically. Could we just talk about your timing of entering dry gas markets and what that signals in terms of your outlook for gas-related activity? 
Christopher Wright: You bet. Look, the shale revolution began in the gas basins. Really, the technical innovations in the late '90s, nobody really heard about it maybe until the mid-2000s. So it began there. And gas molecule is smaller, more able to move it through very small pores and rocks and microfractures. So originally, we weren't even sure it would go to oil or how big it would be in the oil basin. Thank God, that turned out to be not a limitation. But the flip side of that is it's so good in gas that the U.S. production ramped up massively fast and then the improvement learnings were very quick there. So we started Liberty. While we love natural gas, it's a fuel bullish on its long-term future, we saw that the rig count and the fleet count in the major gas basins would likely decline rapidly, and it has over the last 8 years. And then the oil basins, it would grow. 
 And the other big reason for that besides just the technical difference of producing gas versus oil is it's pretty easy to load. A, we were a huge net importer of oil, which could be displaced. And it is pretty easy to export oil. It's a little harder and a little bigger investment cycle to export natural gas. But let's look at all those factors today. U.S. win -- it started the shale revolution, biggest importer in natural gas in the world. Now we're the third-largest exporter of LNG in the world and actually a fair amount of room to run and growing pipeline capacity to Mexico. So that time to build infrastructure to grow the gas market has happened. And the decline in rig counts, decline in fleet count has happened in the major gas basins. 
 So after many years of significant declines, our guess is we've hit a bottom. And depending upon how things unfold, it may not rise massively from today. But I suspect we will see increasing activity in those basins even if they didn't increase. In the depth of the downturn, the percent of the activity that was in gas basins was quite large, just different dynamics, different marketplaces. So we've been talking and thinking about gas for multiple years. Multiple customers have talked to us about that. So I would say, totally independent of the OneStim acquisition, we were going to move to the gas basis. 
 Then on timing, when did we enter the Permian? We entered the Permian at the bottom of the last downturn because we grew our market share in the Rockies from 5% to 25%. And so -- and for the first time in our business, we had spare capacity. And so we entered the Permian. Here as well, for the first time since the depth of the last downturn, and that was a brief moment where we set that fleet to the Permian. During this downturn, obviously, we had spare capacity, and we thought timing is good to enter the gas basins. So then it was the third ingredient, which is a specific customer that we believe in, that's solid, that makes that entry makes sense at that point in time. 
 So yes, I would say without the OneStim deal, we would be in the Haynesville today, in fact, in the sense of the same fashion we are. Now we'll just -- and we'll go from entering to scale quite quickly. Sorry for the long answer, but I appreciate the question. 
Sean Meakim: No, it's a good answer. I think that context is really helpful. And then just thinking about the digiFrac, are we still track for deployment next year? I'd be curious to understand a little bit more what the capital outlay looks like relative to a traditional diesel fleet? And just how you think about securing a firm contract before you put this type of fleet out to the market. 
Christopher Wright: Yes. So that may be a little too much inside baseball at this point in time. But we're in dialogues about that fleet because of the different technology, different emission profile of it. I'd say there's significant interest. But it's a tough marketplace. It's a tough marketplace. And so we are building tests. We'll be running engines in the field in the next few months. And depending upon the timing of a reasonable commercial arrangement and success of our development efforts, I would say it's quite likely, we would certainly sign a deal to deploy a digiFrac fleet sometime in the next 12 months. But that could be in the front end of that, that could be in the back end of that. And we're not all -- it's not critical to us how fast that happens. What is critical to us is that the technology is robust and truly differential as we believe it can be and that we enter into the right commercial arrangements with the right parties. 
Operator: And our next question will come from Tom Curran with B. Riley FBR. 
Thomas Curran: Most of my questions have been covered. So I'll turn to one of my regular topics, which is your continued involvement with the VorTeq system. Would you please update us on your initiative to deploy that technology on a live well with an existing customer before year-end? And then how does the acquisition and integration of OneStim affect your VorTeq plans, both in terms of the specific timing of this trial well and then the others that might follow, and then longer term, how you would intend to roll that technology out across the merged fleet? 
Ron Gusek: Yes, Tom. So we were well on our way to putting that technology out on live well right before the world turned upside down for us, and in fact, I'd say maybe weeks away from doing so. So we're back on that path again. We're out looking for the right trial candidate to have that on, of course. We want to make sure we set ourselves up for success when we go out to do that. And so the sales team here at Liberty is working with our E&P partners to find the right candidate for that. And when we find the right opportunity, we will get that technology out in the field and get through the remainder of the testing that we would like to do there. Once we've done that, then we evaluate the commerciality of the technology and make a plan for deployment beyond that. So that's where we sit today. We don't have that date nailed down yet, but know that we're working hard to find a spot to get that out in the field again. 
 As far as the OneStim acquisition, it didn't really change our outlook on VorTeq. Of course, we were we're working together with energy recovery and had been for a long, long time. That was mostly independent of the OneStim team. Of course, they had their own efforts moving forward. They're in parallel with us. I think maybe we both had a little different thought around how we were going to deploy that and how we were going to use that technology. We continue on with the plans that we had there. And once we get across the finish line and have a chance to evaluate how it performs in the field, then we make that final decision around deployment, obviously, with a little bigger footprint to consider that over now. 
Thomas Curran: Just 2 follow-ups then. Do you still expect to be able to get this first live well frac underway before year-end? And then when it comes to your commercial evaluation, is your intention -- or are you open to -- if you're satisfied, and it looks like the technology is going to meet all your requirements, to deploying it across the entire fleet? 
Ron Gusek: So in terms of how we think about that, we certainly hope to have it done before the end of the year. We're out actively looking for that well right now. And when the right candidate comes up, we'll certainly go. We are ready to do that on a relatively short notice. Having been through all of the work we've been through in the yard and other testing outside of that, we're pretty comfortable with getting the technology rigged in alongside our typical rig up. So it's not a time-consuming effort to do so if we find that candidate quickly. So fingers crossed, we'll do that before the end of the year. 
 And then as we think about deployment, there are places where VorTeq probably makes more sense than others. There are places where we see much higher wear and tear on the wet end of the pump, on the fluid ends, valves and seats than we do elsewhere. That's really a function of job design of the pressures we're pumping at or the type of fluid system that we're using there. And so that'll -- it'll be those factors that ultimately prioritize where we deploy VorTeq out of the gate when and if we decide we're ready to do so. 
Operator: Our next question will come from Chris Voie with Wells Fargo. 
Christopher Voie: So I think you said you expect revenue per fleet should be higher in the fourth quarter, and it sounds like pricing is not going down. So is it fair to assume that underlying GP per fleet, which I think was probably around $6 million in the third quarter, if you ignore reactivation costs. Is it fair to think that, that should be higher in the fourth quarter compared to the third quarter? 
Michael Stock: It's a lot of moving parts on that one, Chris, obviously. But yes, I mean given the small set of assumptions you just mentioned, that would be logical. But that was based on those small set assumptions. So yes. No guidance. We will not give profitability guidance, so as you know. 
Christopher Voie: Sure. Okay. Well, then I'll skip what's going to be my next question then about 4Q EBITDA. Maybe switching to pricing back to that, is bidding right now in pretty tight band still? I think in previous quarters, there's mostly a pretty tight band with a few outliers. I'm wondering if you could just describe what the landscape is right now for pricing in terms of -- obviously, you want to hold around, a lot of other people do as well. But are there still some undisciplined bidders that are messing up the situation right now? 
Christopher Wright: Well, I think the tight band is a reasonable characterization. But often, there are some bids that are way off that reservation, for sure. But usually, it's from players that have other limitations that make them not a great potential partner for us. So there's a lot of, I would say, in general, the crazy cheap bids, even though they may be a fair amount cheaper than everyone else, in general, they're not successful with the better companies. You're making a partnership, and there's a reason someone's doing something like that. And I think that the experience of the last 6 months maybe even hammered that home more to the E&Ps, that if it looks really cheap upfront, maybe there's a reason for that. And the cost of partnering with the weaker players, it certainly have been made apparent in the last 6 or 7 months. 
Michael Stock: So I'd just say, while pricing is very tough at the moment, some of the more ill-disciplined players now are -- have exited the market or definitely sort of left around that area. The other thing I will say is whilst pricing is tough at the moment, the majority of the fleet -- and there's a lot of equipment available, the majority of the fleets that are staffed are now probably working. So it will be interesting to see what happens with the pricing environment over the next 3 to 5 months. We don't have any indicator of where it's going to go. But again, just logic tells you that if service companies are going to be hiring back, new -- and staffing new fleets, they're going to be expecting a return from that. I would expect majority of the industry to be relatively disciplined. 
Christopher Voie: Okay, that's helpful. And if I could just sneak one little one in here. Do you have a view on reactivation costs in the fourth quarter compared to the $6 million in the third quarter? 
Michael Stock: Yes.  Again, we should be relatively flat on fleet count through the fourth quarter, Chris. So I think that will be a much smaller amount and smaller numbers as we go through into next year. Again, you've got to remember that we were bringing back -- we really almost came to a screeching halt in the oil basins. So we had a significant amount of work to really sort of almost like restart -- companies were almost restarting in this year during this Q3 period. So there are definitely costs involved in that, inefficiencies, et cetera. 
Operator: And our next question will come from John Daniel with Daniel Energy Partners. 
John Daniel;Daniel Energy Partners; Founder, President: I got dropped early on because driving around here, so I don't know if my question has already been addressed. I apologize in advance. But can you speak to what the inquiries are, bidding opportunities are, the volume, if you will, for Q1? And also address sort of what portion of your fleet today is dedicated and why you would expect to be dedicated moving into 2021. 
Christopher Wright: John, I love that you're always on the road, on the ground, seeing what's happening. So drive safely or maybe you pulled over because your cell connection sounds good. And so look, this is -- for people that do their work on an annual basis, this is sort of that RFP season. And as I made the comments earlier, from what you see for people's bidding or plans next year, I would say that, yes, we expect an increased level of activity next year from where it is today. If oil prices are cooperative, that probably is true pretty early next year. If they're not, schedules probably slide. And then, John, maybe that biggest question you asked is what percent of our work is sort of dedicated versus spot. And I would say the very large majority of it is dedicated. For, us to be a win for the customer and a win for us, you want maximum throughput through your assets, so that's the very strong preference. Of course, there are other partners that in certain basins or areas they don't have a full fleet, what we try to do is we get that work lumped together, and then we try and blend it with someone else. Our fleet work 6 weeks -- 6 months for this person and this chunk for this other person. But it's a high -- very high percent of dedicated work. 
John Daniel;Daniel Energy Partners; Founder, President: Okay. Just one more for me, and I don't know if you can share this data or not. But when you look at sort of pumping hours per day that you get on your fleet, have you been able to make -- get similar data on the Schlumberger fleet? And can you comment on what disparities exist in the setting? 
Christopher Wright: So look, there's third-party data on throughput that we look at. There's -- we don't have detailed data on the OneStim fleet. And I'm sure with them, just like with everybody, that depends on basin and customer stuff and all that. So yes, that's too specific for us to comment on right now, but it's obviously a great interest to us and down there. 
John Daniel;Daniel Energy Partners; Founder, President: Well, let me put it -- how about this. When you look at third-party data and it assesses your performance, how accurate is that third-party data in assessing your performance? How's that? 
Christopher Wright: It depends on the source. And that's funny. So we -- obviously, the third-party data we use is third-party data where their data aligns not just in magnitude but in trends with our own internal data. So that probably -- and you probably heard us reference people's third-party data, shown in our presentations and stuff, and those are people where we have some confidence that their data is reasonably accurate. 
Operator: And our next question will come from Ian MacPherson with Simmons. 
Ian MacPherson: Chris, Michael, maybe worth asking about the playbook for a downside case, just given the direction of the old tape. Obviously, we've seen divergence with gas and oil. We've seen you move into the Haynesville ahead of the OneStim acquisition. But you've increased your share in your fleet count, I think, with good strategic reasons in the back half of this year even when pricing remains very difficult and margins, on the consolidated level, remain poor, notwithstanding the incremental contribution margins of those fleet adds. But if the activity recovery for the total market slides to the right because of the commodity next year, what would your appetite be to continue to take share and to redeploy incremental fleets? And ahead of that recovery, given the trade-off between wanting to be strategic and ahead of the market, but also just putting unprofitable wear and tear on the equipment. 
Christopher Wright: Yes. Certainly, the activity pushes or goes out, which may -- which certainly may happen, definitely reduces our activity. Yes, for us, it's definitely not about we want market share for market share itself. that's not how we think about it. We -- our [indiscernible] driver is we want long-term profitability and high returns on the assets that we buy and the people we hire, so very customer-specific. Strategic customer that seeing a Liberty outperformance wants to grow their market with Liberty, and we can reach a compromise in a pricing that makes sense for us, we'll do those. Customer that wants Liberty because we're better, but they're a weaker player or has an uncertain program, are we going to go do that because they really wanted us, but there's not a strategic reason of that bad profitability? No. We have those dialogues. We're pretty open. And we're open with you, and we're open with our suppliers and our customers. So you ask a very good question, but things pull back and all that, yes, we will certainly pull back on deployment. And whether things are good or getting softer, it's really driven by where is this relationship, who is this customer, where might that relationship go? That's what drives our -- and what is going to be the return over a little bit longer time frame for those assets and those people. 
Ian MacPherson: That makes sense. And then a follow-up for me. Could you share any insights as to how you see the OneStim activity cadence unfolding from Q3 into Q4 relative to Liberty's, if you're privy to that and if you'd be willing to share it with us. 
Christopher Wright: We certainly can't share any details about their projections and plan. Heck, we don't even know a lot of it ourselves. But I would say the rebound out of the downturn, they rebounded at a pretty good clip as well. They -- a month ago, when we were looking at the data, they're running a similar number of fleet to us. 
Ian MacPherson: Substantial reason that a similarity would -- a parallel arc might continue through the fourth quarter then? 
Christopher Wright: We don't know. We don't know because, I mean, that's at the future. 
Michael Stock: I like to say, until we close the year, if you want to know something about the Schlumberger fleet, you really need to ask [indiscernible]. 
Operator: Our next question will be a follow-up from Marc Bianchi with Cowen. 
Marc Bianchi: I guess, Chris, you're regarded for good reason as a forward thinker in this sector. And I think it's something that hasn't come up on any of the earnings calls here, thus far, and I think it should. The election, obviously, coming up and there's some concern as to what could happen to the industry from a further leaning left government. So just kind of curious how you see that playing out, if you do see a Democrat win and a more democratic Congress? And maybe anything you guys are doing in terms of contingency planning around that. 
Christopher Wright: Yes. It does matter. But predictions are hard, particularly about the future. So we don't -- we don't have election turnout. We don't know what various -- control of the presidency or the Senate, what that might mean for policy. But I would say you always have very heated rhetoric and sort of wild claims in elections. And you always see a different, somewhat more sober set of activity after elections. And if you look at -- as you well know, 10% of activity roughly has been on federal lands. Now there's permit backlogs built up there. Heck, I wrote an editorial 3 weeks ago on if you stopped permitting and drilling on federal lands, what would be the impact. And 2 things we can say for sure: increased greenhouse gas emission, increased pollution. Because banning things like that, it doesn't change demand or consumption of oil and gas at all. It just moves where it's produced from in clean, tightly regulated production in the U.S. to somewhere else. 
 Look at New Mexico. New Mexico has rolled out the first free college tuition for everyone. What's funding that? Oil and gas royalties and dominantly on federal lands. So we don't know what's going to happen. But I suspect the outcome over the next few years and the activity level in our industry, at least in the near term, will not be as impacted as much by the election as most people think and emotions are running around. 
Operator: And at this time, I'm seeing no further questions. I would like to turn the conference back over to Mr. Wright for any closing remarks. 
Christopher Wright: I just want to thank everyone for their time and interest today. And again, thanks for everyone in these tough times. I thank the people within Liberty. I'm thrilled to be and humbled to be partners with the whole Liberty family. I'd say the same thing about our customers. Look, our customers, our suppliers, our partners across the board have shown character and resilience in the face of these challenges and an attitude that we're all in it together. So thanks to this fabulous industry, and thanks, everyone, for their time today. Take care. 
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines at this time.